Stefanie Wettberg: Good morning, ladies and gentlemen. Welcome to BASF’s Conference Call on the Fourth Quarter and Full Year 2023 Results. Today’s presentation is being recorded. [Operator Instructions] Today’s presentation contains forward-looking statements. These statements are based on current estimates and projections of the Board of Executive Directors and currently available information. Forward-looking statements are not guarantees of the future developments and results outlined therein. These are dependent on a number of factors. They involve various risks and uncertainties and they are based on assumptions that may not prove to be accurate. Such risk factors include those – particularly those discussed in opportunities and risks of the BASF report 2023. BASF does not assume any obligation to update the forward-looking statements above and beyond the legal requirements. With this, let us move on. With me on the call today are Martin Brudermuller, Chairman of the Board of Executive Directors; and Dirk Elvermann, Chief Financial Officer. Please be aware that we have just posted the speech on our website at basf.com/fullyear2023. And now, I would like to hand over to Martin Brudermuller.
Martin Brudermuller: Good morning, ladies and gentlemen. Dear gentlemen, I would like to welcome you to our analyst conference call. On January 19, BASF released preliminary figures for the full year of 2023. Today, we will provide you with further details. Let’s start with the development of chemical production by region. The orange bar in the middle shows the growth for the full year 2023. Based on the available data, global chemical production grew by 1.7% in 2023 on account of growth in China. In 2023, chemical production in China increased considerably compared with the COVID-related low baseline of the prior year. The development there was driven by recovering domestic demand and exports, but was associated with low sales prices. All other regions recorded a decline. In Europe and in Asia, excluding China, chemical production decreased substantially due to lower demand resulting from high inflation, frontloading of durable goods consumption during the COVID years as well as structurally higher natural gas prices. In 2023, natural gas prices in Europe were still around double the average between 2019 and 2021 and 5x higher than the Henry Hub quotation. In North America, chemical production declined slightly compared with 2022 in an environment of weak domestic demand from industries and end consumers. In Q4 2023, global chemical production rose by 6.9%. This was a considerable increase mainly stemming from strong contribution from China. However, North America, Europe and Asia, excluding China, also grew slightly compared with the very weak prior year quarter. We now move on to BASF’s performance in the fourth quarter. Overall, BASF group sales declined by 18% to around €16 billion in Q4 2023. This was mainly due to lower prices, which decreased across all segments because of subdued demand and in line with lower raw material prices. Currency headwinds also had a negative impact on sales. Sales volumes, however, remained almost stable. Excluding precious metals, BASF sales volumes increased by 2.6% compared with the prior year quarter. This confirms the bottoming out of the volume decline, which we had predicted in our analyst conference calls in the second half of 2023. EBIT before special items declined by €81 million and amounted to €292 million in Q4 2023. Higher earnings in the Industrial Solutions, Nutrition & Care, Surface Technologies and Materials segments could only partially compensate for lower contributions from Agricultural Solutions, Chemicals and other. Today, I would like to additionally comment on our earnings performance by region. In 2023, an extremely difficult market environment with low demand, EBIT before special items declined by double-digit percentage in all regions. However, our teams delivered a positive earnings contribution in absolute terms in all significant countries with the exemption of Germany. Results in Germany suffered due to a substantially negative earnings at our largest production site in Ludwigshafen. On the other hand, this situation demonstrates the high competitiveness and under challenging conditions at the global level. On the other hand, the negative earnings at our Ludwigshafen site show the need for further decisive action here to enhance competitiveness. At BASF, we have a track record of taking immediate action when we recognize developments that will have a lasting impact on our cost competitiveness. In October 2022, BASF was one of the first chemical companies to initiate a significant cost savings program to address the deteriorating competitiveness in Europe and Germany, in particular. This was done mainly in view of the significant increases in electricity and natural gas prices. Consequently, in February 2023, we launched a set of measures to save costs in non-production areas in Europe and to adapt production structures at the Ludwigshafen site. As confirmed in our Q3 2023 reporting, total annual cost savings from all the measures announced to-date are expected to reach €1.1 billion by the end of 2026. At the end of 2023, we already achieved an annual cost reduction run-rate of around €0.6 billion from these measures. Onetime costs amounted to around €0.4 billion in 2023, which explains the limited P&L impact so far. In the course of 2023, earnings of our largest product site in Ludwigshafen deteriorated further in an extremely weak market environment. There are two main reasons for that: first, the temporary low demand environment, which is affecting the volume development in both our upstream and our downstream businesses; and second, higher production costs due to structurally higher energy prices, which predominantly burden our upstream business. The Board of Executive Directors is fully aware of the significant restructuring, cost reductions and efficiency improvements that our BASF team has implemented over the recent years, especially in Ludwigshafen. However, we must also acknowledge that the framework conditions continuing to be challenging, particularly for the upstream businesses in Germany. And these conditions are not expected to improve anytime soon because they have become structural. To restore and defend our international competitiveness, we must rigorously address these new market realities. Therefore, we have decided to introduce additional measures to adapt the cost structures at our Ludwigshafen site. We aim to reduce costs annually by a further €1 billion by the end of 2026. The program will generate cost savings in both production as well as in non-production areas. It will include further reducing fixed costs by driving efficiency in company structures, adapting production capacities to market needs, and significantly trimming variable costs by redesigning processes. The situation is serious, so we are explicitly not rule out any measures. The program will also lead to further job cuts. As usual, we will involve employee representatives regarding the various measures that will be further detailed in the coming months. The measures already announced in October 2022 and February 2023 will achieve another €0.5 billion in annual cost savings by the end of 2006. The total one-time costs for these measures as well as for the further program are expected to be up to €1.8 billion. Besides the required cost reductions, we will do everything possible to increase the utilization rate of our competitive assets to bring them back to normal levels. In doing so, we aim to generate additional contribution margins to return to solid earnings at the Ludwigshafen site. This applies particularly to our upstream assets in the Chemicals and Materials segments, where plants require constantly high utilization rates of 80% to 90% to achieve industry typical earnings. Currently, we are operating with utilization rates considerably below normal levels at the Ludwigshafen site. The low level of global market demand we are experiencing at the moment will, however, not continue over the long run. Sooner or later, customers will increase their orders again and markets will normalize. We at BASF will be ready to serve the increasing demand from our customers and earnings contributions will improve accordingly. Historical data show that even under price pressure, such as step-up in utilization rates, will quickly lead to an increase in contribution margins. The chemical industry will be the first to benefit from reviving demand since we supply materials to the manufacturing industries at the beginning of almost all value chains. In parallel to the short-term program announced today, Marcus Kamit and the new Board team will update the longer term positioning of the Ludwigshafen site. This will reflect both the regulatory framework and the changed market realities in Europe and Germany. The target picture will give a clear strategic direction for the structural development and will set ambitious profitability targets. The Board will provide details in the second half of 2024. What is undisputed is that the Board team stays strongly committed to the Ludwigshafen site. We want to develop Ludwigshafen into a leading low CO2 emission chemical production site with high profitability and sustainability. We will focus Ludwigshafen on supplying the European market to remain the partner of choice for our customers. To achieve this, it is essential that we implement the program consistently and as quick as possible. At the same time, we are systematically driving forward our business in those regions of the world that are growing more dynamically and offer attractive conditions for investments. Now let’s return to our reporting and take a look at BASF Group’s CO2 emissions. In 2023, Scope 1 and Scope 2 declined by 5 million metric tons to 16.9 million metric tons compared with the baseline of 2018. Compared with 2022, the decline amounted to 1.5 million metric tons. A large part of the reduction is due to an ongoing weak demand and the fact that we have shut down some energy-intensive plants in Ludwigshafen as announced last year. Further measures will be introduced to counterbalance a rise in Scope 1 and Scope 2 emissions, which is likely when demand recovers and when we start up further plants at our new found site in Shenzhen as of 2025. The share of electricity from renewable sources increased slightly compared with 2022 and amounted to 20% in 2023. In addition, our operational excellence measures to increase energy and process efficiency contributed to an overall decline in CO2 emissions. Specific Scope 3.1 emissions amounted to 1.61 kilograms of CO2 per kilogram of raw material purchased in 2023 compared with 1.58 kilograms in 2022. This increase was due to the decline in production and associated reduction in the use of raw materials produced in Europe. With that, I hand over to Dirk for more financial information.
Dirk Elvermann: Thank you, Martin, and good morning, ladies and gentlemen. I will now provide you with further financial details for the full year 2023 compared with 2022. EBITDA before special items decreased by 29% and amounted to €7.7 billion. EBIT before special items declined by 45% to €3.8 billion. I will touch on the development at segment level on the next slide. Net income improved by €852 million to €225 million in 2023. The prior year figure included non-cash-effective impairments on Russia-related assets at Wintershall Dea in the amount of €6.5 billion. BASF cash flows from operating activities increased by 5% and amounted to €8.1 billion in 2023. This increase mainly resulted from changes in net working capital, which led to a cash inflow of €1.8 billion compared with a cash outflow of €1.3 billion in 2022. Reduced inventories alone resulted in a cash release of €1.9 billion, while in the prior year, inventory buildup of €2 billion had tied up cash. This reflects our strict discipline in inventory management in 2023. Free cash flow decreased by €680 million to €2.7 billion. This was achieved despite the fact that payments for property, plant and equipment and intangible assets were around €1 billion higher. At year end 2023, the equity ratio of 47.3% almost matched the figure of 48.4% as of year-end 2022. The very solid equity ratio and strong cash performance are proof of BASF’s continued financial strength even in challenging times. This slide illustrates the development of EBIT before special items in the segments in the fourth quarter as well as in the full year. For detailed explanation of the full year 2023 earnings development by segment, please refer to the BASF Report 2023 published this morning. For details about the segment development in the fourth quarter, please refer to the fact sheet published on the IR website this morning. Let me provide additional information on the major impairments in EBIT in the following. In 2023, special items amounted to minus €1.6 billion. Of this amount, around €400 million resulted from restructuring measures, in particular, in connection with the cost savings program focusing on Europe, the adjustments to production structures at the Verbund site in Ludwigshafen and the carve-out of the BASF Environmental Catalyst and Metal Solutions unit. However, the largest part amounting to €1.1 billion was attributable to non-cash effective impairments. These mainly related to the Surface Technologies, Agricultural Solutions and Materials segment. In the Surface Technologies segment, the impairment charges were primarily related to our precursor production plant for cathode active materials in Harjavalta, Finland. The lengthy permit objection process and the uncertainty regarding its outcome resulted in an asset impairment. In the Agricultural Solutions segment, impairments were incurred in conjunction with production facilities in Europe. In the Materials segment, we recognized impairments related to an intangible asset acquired from Solvay that provides access to a production technology for a precursor in polyamide value chain. Due to recent market developments, this asset is no longer perceived as economically superior. I will now continue with our cash flow development, focusing on our performance in the fourth quarter of 2023. Cash flows from operating activities decreased by 5% to €4.3 billion. Changes in net working capital led to a cash inflow of €3.2 billion compared with a cash inflow of €2.5 billion in the prior year quarter. Lower inventories resulted in a cash release of €990 million compared with a cash release of €461 million in Q4 2022. Our focus on inventory management, therefore, paid off. Compared with the prior year quarter, payments made for property, plant and equipment and intangible assets rose by €160 million to €2 billion. The increase was mainly attributable to the construction of our new Verbund site in South China. That is why our free cash flow decreased by €368 million compared with Q4 2022, but still reached €2.2 billion. Let’s now turn to our balance sheet at the end of December 2023 compared with year end 2022. Total assets declined by €7.1 billion and amounted to €77.4 billion, mainly due to our strong focus on cash management and working capital management, in particular. The decline was driven by lower current assets, largely on account of reduced inventories, lower other receivables and miscellaneous assets and lower trade accounts receivables. Overall, current assets were reduced by €6 billion. Non-current assets declined by €1.1 billion. As of December 31, 2023, net debt was almost stable and amounted to €16.6 billion compared with €16.3 billion at year end 2022. I will now give you further insights into capital expenditures. BASF’s corporate strategy is based on organic growth. Therefore, CapEx and R&D expenses are the foundation for our future business. However, we are responding flexibly to the changes in the market environment. We continue to be confronted with a significant imbalance in supply and demand in several value chains, structurally higher energy prices in Europe, and overall subdued market demand. We will therefore further strengthen our focus on capital discipline across the entire portfolio. For the BASF Group, we planned capital expenditures of €19.5 billion between 2024 and 2027, of which €6.8 billion related to our growth projects, the new Verbund site in Zhanjiang, China and the expansion of the battery materials business. The total CapEx for this current planning period compares with €24.5 billion for the prior planning period from ‘23 to ‘26. You will have noticed that we shortened our CapEx planning period from 5 to 4 years, mainly because focused accuracy is higher in the slightly shorter timeframe. In 2024, we planned total capital expenditures of €6.2 billion compared with €5.2 billion in ‘23. Thereof, spending of €3.3 billion on property, plant and equipment is related to our growth projects in 2024. The CapEx peak for these growth projects is expected this year, so investments will decrease again in the following years. As communicated during our investor update in December ‘23, we will postpone non-critical projects in line with market demand. We are also tightening our belts somewhat with regard to our growth projects. At our Verbund site in China, we will further leverage the favorable procurement environment. In our Battery Materials business, we will use flexibility in the scheduling and sequence of the investments and will also evaluate partnerships to optimize CapEx. Between 2024 and 2027, we are planning investments totaling around €900 million in our transformation towards net zero. In BASF’s net zero transformation we will maintain the overall investment scope with a clear focus on CO2 reduction, renewables and recycling. We will fund certain events, such as wind farms via project financing, which will require significantly less CapEx. In addition, we will strike the right balance between power purchase agreements and own investments in the production of green electricity. Now I would like to provide our view on the transaction between Harbour Energy plc and Wintershall Dea. As you know, on December 21, 2023, BASF, LetterOne and Harbour signed a business combination agreement to transfer most of Wintershall Dea’s E&P business to Harbour, namely the entire non-Russia-related E&P business. In exchange, at closing, BASF will receive a cash consideration of $1.56 billion and the share in the enlarged Harbour of 39.6% of the entire shares. Following the completion of the transaction and the 6-month lockout period, BASF will have the opportunity to gradually monetize its stake in Harbour as the company is listed on the London Stock Exchange. The agreed enterprise value for the Wintershall Dea assets amounts to $11.2 billion. This amount includes the outstanding bonds of Wintershall Dea with a nominal value of around $4.9 billion that will be transferred to Harbour at closing. There is an upside potential through a higher market valuation of the enlarged Harbour after closing. The transaction provides an attractive stepwise exit from the oil and gas business in-line with BASF’s financial and strategic requirements. However, we are not setting ourselves a specific deadline or selling all of our shares in Harbour. Let me also explain in some more detail what will happen with the assets that are not part of the transaction. Wintershall Dea, as the remaining company, will hold all Russia-related assets. The purpose of the company will be to divest or liquidate the various Russia-related participations to manage the claims associated with the Russia-related activities of Wintershall Dea, to rightsized its organization following the completion of the transaction with Harbour and to provide transitional services to Harbour, if requested. Furthermore, Wintershall Dea is continuing its preparations for a separate sale of its 50.02% stake in WIGA Transport Beteiligungs-GmbH & Co. KG, which is not part of the transaction with Harbour. The federal – German federal government, which already holds the remaining shares in this company, WIGA via SAFR, is our first point of contact here. Since there has been quite some speculation in the German media, let me comment on four main topics that have been voiced as a concern. First, regulatory approvals. The review of the transaction by the relevant governmental bodies is in-line with standard procedure that the contracting parties initiate submitting the corresponding applications. As stated in the BASF news release on December 21, 2023, the transaction with Harbour is subject to various regulatory approvals in several countries. In Germany, approval for foreign direct investments will also be required in accordance with the foreign trade and payments ordinance. We are confident that we will receive clearances in all cases. Completion of the transaction is targeted for the fourth quarter of 2024. Second, Germany’s energy supply security. Wintershall Dea’s oil and gas production in Germany accounts for roughly 1% of German oil and gas consumption. In terms of securing Germany’s energy supply, it is not decisive whether the E&P activities currently managed by Wintershall Dea are operated by a German or British company in the future. Third, CCS technology. The focus of Wintershall Dea is limited to the development of reservoirs for the permanent storage of CO2. The activity is operated by a quite small international team currently out of Norway, the Netherlands and Germany. The acquired licenses are all outside of Germany, namely in Denmark, Norway and the UK. Wintershall Dea is not involved in CO2 capture and does not consider CO2 transportation as a core business. BASF, on the other hand, is a leader in the technology for capturing CO2 emissions as part of its global gas treatment business, which we are continuously developing. Our OAC technologies are available globally, also in Germany. You might, however, be surprised to learn that geological CO2 storage in Germany, whether onshore or offshore, is still not allowed under the existing German legal framework. And fourth, the closure of the German headquarters of Wintershall Dea. The timing of the announcement was unfortunate, but unavoidable for the legal reasons resulting from the fact that BASF and Habour are both publicly listed companies. Wintershall Dea has state-of-the-art expertise in the oil and gas business. Therefore, all employees of the operating companies included in the transaction, around 1,200 employees will be taken on by Harbour. Harbour also intends to provide offers to some employees from the current headquarters to join the combined company. The details will be agreed in the currently ongoing review prior to completion of the transaction. I hope this helps to put things into perspective. Until closing, Wintershall Dea and Harbour will continue to operate as independent companies and are preparing closing and the integration to the extent possible under the applicable legal framework conditions. And with that, back to you, Martin.
Martin Brudermuller: Thank you, Dirk. Ladies and gentlemen, as I have frequently mentioned, an attractive dividend is an important target for the BASF Board. This also holds true in challenging times. Therefore, we stick to our practice to increasing the dividend per share each year or keeping it stable. We will thus propose a dividend of €3.40 per share to the Annual Shareholders Meeting based on the year’s end share price. This offers a higher dividend yield of 7%. In total, we will pay out €3.0 billion to our shareholders. This amount is largely covered by the free cash flow of €2.7 billion generated in 2023. Our strong balance sheet, high equity ratio and good credit ratings give us the necessary financial strength with regard to paying an attractive dividend. Now I will conclude with the outlook. We expect that the global economic momentum from 2023 to continue in 2024. The main reason for this will be the expected persistently high interest rates, which will continue to dampen growth in the U.S. and in Europe. We expect the demand for industrial goods will normalize only gradually and that the share of goods in the private consumptions will rise only slowly. For this reason, we only expect very moderate growth in most of our customer industries. Recovery in China remains uncertain, particularly with regard to the real estate sector and the further development of the labor market. We do not expect any significant growth stimulus in the EU. We anticipate a gradual slowdown in the U.S. due to, among other things, higher interest rates. The geopolitical situation remains critical against the backdrop of the wars in Ukraine and the Middle East and other geopolitical tensions, particularly between the United States and China. Global chemical production is nevertheless expected to grow faster in 2024 by 2.7% compared with 1.7% in 2023. This will be driven primarily by the expected growth in the Chinese chemical industry. Our planning assumptions on average oil price of $80 per barrel of Brent crude and exchange rate of $1.10 per euro. Based on these assumptions, the BASF Group’s EBITDA before special items is expected to rise to between €8.0 billion and €8.6 billion in 2024. Volume and margin growth in all segments will contribute here. Higher fixed costs due to inflation, but also in connection with the construction of our new Verbund site in China, will burden earnings. We forecast the BASF Group free cash flow to be between €0.1 billion and €0.6 billion. This is based on expected cash flows from operating activities of between €6.6 billion and €7.1 billion minus expected payments made for intangible assets and properties, plant and equipment in the amount of €6.5 billion. The high investment-related cash flow is mainly due to investments in the new Verbund site in China. In the context of our free cash flow forecast, please be reminded that BASF’s cash flow is typically weak in Q1 and strengthens in the further course of the year. This is mainly due to the seasonality of our Agricultural Solutions business. CO2 emissions are expected to be between 16.7 million and 17.7 million metric tons in 2024. We anticipate additional emissions compared with the previous year from higher production volumes based on rising demand. We will counteract this increase with targeted emission reduction measures. Thank you. And now, Dirk and I are glad to take your questions.
Stefanie Wettberg: [Operator Instructions] We will begin with Sam Perry from UBS. Please go ahead. He will be followed then by Christian Faitz and then Matthew Yates. But now Sam Perry, please?
Sam Perry: Hi, there. Thanks for taking my question. A technical question on Winstershall Dea. Do you expect to receive the full cash proceeds at closing, so the $1.6 billion? Or is there a delay to the receipt of any of this cash based on the business performance? And related to this, do you expect to receive a dividend from Wintershall this year while the process is ongoing? And then secondly, previously, Chinese imports into Europe have been cited as a big disruptive issue for demand. Have you seen any signs that that’s coming off at all given demand picking up domestically and also shorter-term, the issues in the Red Sea? Thank you.
Dirk Elvermann: Hi, Sam. This is Dirk speaking. I’ll take the first question. So we are currently expecting the full cash proceeds of $1.56 billion to be received upon closing. In closing, we expect as said in the fourth quarter. Wintershall Dea will not pay to the shareholders a common dividend this year. So last year, we received the dividend, our share €290 million. This will not be the case this year. So full cash proceeds, yes. Dividend, no.
Martin Brudermuller: Sam, from my side, on the Chinese imports, we see imports from China coming in, in an order of magnitude like never before. Very clearly, there is capacity coming up in many product lines in China. Overcapacities for the domestic market and the market there is also sluggish. So they also take every opportunity for exporting and making every ton somewhere in the world. That’s particularly true also for the other Asian markets, but also South America, but also coming into Europe. They take certain advantage from the higher energy costs and their competitiveness they have. You mentioned the Houthi rebels disturbing the supply chain. Yes, there are effects. I think they are temporary. I mean there are some products where we actually see now that this inflow of Chinese volumes are interrupted, which then brings the customers in Europe to rethink their supply strategies and also go back to European ones to be more resilient. But I think this is a temporary effect. I mean, overall, it is a question of competitiveness of Europe in the long run compared with China. But that is a very broad activity. We see Chinese materials flowing in, in a lot of product lines.
Sam Perry: Thank you.
Stefanie Wettberg: Okay. So now it’s Christian Faitz, Kepler Cheuvreux.
Christian Faitz: Yes. So, thank you, Stefanie. Good morning, everyone. I believe BASF considers itself the globally biggest automotive supplier still. Hence, what’s your view on general automotive demand globally this year? Any regional differences you are observing? And then my second question would be on agro chemicals, the left and right from industry sources and your peers that the channels are full into ‘24. I’m missing any of that in your statement. Is that not what you’re seeing as prominent number three player globally? And then finally to Martin, I believe this is one of your last official appearances in front of the aggregated analyst investor community as typically, the Q1 call on the day of the AGM is done by your CFO. Hence, thank you very much for all the good discussions over the past several years, in fact, decades and all the best for the future. I know it’s tough, but try to enjoy the after BASF life.
Martin Brudermuller: So Christian, thank you very much for that very nice words. I still intend to be somehow heard in the Q1 call. But yes, there could be things that, that is not going to happen. But thank you very much for the comment and only give that back to all you guys. It was always very enjoyable for me to interact with you. But it’s not my farewell now. A very quick one on the automotive industry. I mean, very clearly, in 2023, automotive industry helps globally because it was one of the healthy sectors that actually had quite a strong increase in production. That is not falling for 2024. Actually, if you look on the global expectations, then this is sought to be more, let’s say, flat, basically stagnating at the level of around 90 million units. And I would say January was much stronger than that, actually a double-digit volume growth here if you look at the numbers. And China actually was an increase in January of 46% of its production. But I think this is not really an indicator for the overall year. So we expect this to get slower. But as you know, Chinese domestic sales out for cars is actually flat for many years now. So you see also here the Chinese cars and the increase in product China is actually flowing out into the world. So that’s a new focus area of Chinese automotive industry. And let’s be seen how successful they are and what the impacts are on the production in the other regions, very hard to predict. But I would say from a global perspective, automotive industry should be rather flat this year.
Dirk Elvermann: And Christian, I’ll take your question on Ag. So first of all, we expect another good year from our agricultural division. Fundamental demand of the farmers is seen. The start into the year will be weaker than last year. And indeed, what you quoted is right. Also, we see channel inventory, we see pressure on the prices and we see the destocking on the distributor level. So what is happening there, it seems that distributors are not taking the long short, but rather wait a little bit longer and are buying according to season. We have to bear in mind there are also higher financing costs out there now. So we see a little bit of a shift from Q1 to Q2. But fundamentally, we see also in 2024 demand from the farmers, and this is what ultimately counts. So some clouds, but still a strong business also 2024.
Christian Faitz: Very helpful. Thank you, both.
Stefanie Wettberg: So, the next one is Matthew Yates from Bank of America. We will then have Chetan Udeshi and then Laurent Favre. But now Matthew Yates, Bank of America. Please go ahead.
Matthew Yates: Thanks, Stefanie. Two questions about Germany, please, one short-term, one long-term. The short-term one, there was a story on ICIS recently about restarting the smaller cracker at Ludwigshafen. Is that just an automatic return post maintenance? Or was there any discretion in that to respond to demand patterns that you may be seeing so far this year? Maybe that related to Sam’s question about the impact of the Red Sea on trade flows. And then the more longer-term question. You showed in the deck that Germany lost €600 million last year. This time, you already took the decision to shut down a few product lines and you’re alluding to potentially more restructuring to come in the second half. I mean, Martin, you say the situation is serious. But how radical is the BASF Board really willing to be? Because if I look at headcount, German headcount is only down by 300 jobs year-on-year or about 0.5%. So are we going to see a much more radical approach to the German footprint in order to restore that competitiveness over the long-term?
Dirk Elvermann: Matthew, I shall start very shortly with the short-term. So indeed, crackers in Ludwigshafen is also our other crackers in the worldwide grids are now running. They run according to demand. We are, at the same time, standing on our tiptoes being as flexible as we can to adjust to the demand that we are seeing. But currently, indeed, the crackers are up and running.
Martin Brudermuller: So Matthew, I try to be somehow concise. But yes, I said it’s serious because you can really see that, first of all, Europe, in as such, compared to other regions, lost really competitiveness, but within Europe, Germany particularly less competitiveness. And it has in our industry, to do certainly with the product late because we have a lot of base chemicals, more base chemicals than the other European countries. That’s why the volumes have been further down in Europe than compared with the average or in Germany compared with the average in Europe. And that’s also why, let’s say, our headache in terms of competitiveness is really culminating on Ludwigshafen. Let me also mention that have actually had in a difficult time, really good earnings all over the world, but in Germany. So we are resilient and, I would say, also competitive. But we have to do something here. And now when it comes to measures, I think why I said serious is that some of the stuff where people and politicians always think the market will come back and then everything is fine. You have to say some stuff in Europe and in Germany getting structural. That means there are framework conditions. BASF will have in the long run, and that’s also why Ludwigshafen has to adapt itself to these new market realities. When it comes to chops and employment, unfortunately, in Germany particularly, to release people is a difficult task because you have a very intensive protection basically by labor laws. And this is also why this goes rather slow unless you really put a lot of money and one-time costs on them to pay them actually to leave. So we use, to a certain extent, also the fluctuation and also the demographic, let’s say, a situation that we have a lot of retirements going forward. I think that’s a cheaper solution than throwing really money by that. When I say structural changes, then I think I have to look into more of the production facilities. They most probably are not competitive anymore for exporting as Europe. So you have a look at the European market realities. You have to look on what is the decarbonization costs for these assets, what is actually – and this is also a fact in Ludwigshafen that the assets are more old than in average than in other sites, whether it really makes sense to maintain and to invest further to keep them. So that’s an exercise that the new Board will do. But believe me, we are very, very determined to bring the cost down, and this is this €1 billion here, which I think is significantly on top of what we had already. We have good ideas where this is coming out. But let me also say it’s not only releasing people, but it is also excellent actually in everything we do, like purchasing and so on. So we will reduce stuff we have to buy. We will change how we buy and so on. So I think it’s important to say that’s not only personnel costs. But I would predict over the years to come that the amount of people working in Ludwigshafen will continuously go down in a quite significant way going forward. And with that, we are also confident that we will have a Ludwigshafen site, and you will hear then also how that should look like from Marcus and the new Board team in the second half of this year. We have an idea how that should look like, but it is a smaller site and it is a site that is actually focused on the European markets and the opportunities there.
Matthew Yates: Thank you.
Stefanie Wettberg: So now Chetan Udeshi, JPMorgan. Please go ahead.
Chetan Udeshi: Sorry two questions. First, just on your guidance. You ended the year with a very, very low number in terms of EBIT or EBITDA and you are guiding full year EBITDA to be in line with consensus. And what I am trying to get to is, are you happy with Q1 consensus as it stands today, or any sense of how Q1 earnings should be, because even last year, as we thought about recovery in second half, which didn’t play out. And I am just curious how much of that is still the case in this year’s guidance that it’s still very back-end loaded in terms of recovery and what if it doesn’t come through. So, just curious how would you guide us on Q1, whether related to consensus or any some sort of number. So, we get a bit more conviction that this guidance is not like the one last year where it was very back-end loaded and hence, subject to risk of clearly, things not materializing in terms of improvement. The second question, I am sorry to be a bit more difficult with this one. I am just reading, Martin, your comment in the annual report, which says BASF remains an integrated company with broad portfolio. Particularly in a year such as 2023, the structure proved its value once again. I am just looking at your numbers in 2023, and it’s hard to see the value of the integrated approach. In fact, if I am a bit more critical, your capital employed from 2007 to 2023 has doubled, but your EBIT is still down in that period. So, again, just going back to the point we have had this discussion as also a new Board looks at the strategic alternatives, why is the structure of BASF not up for debate, because clearly, to your comment, it feels to us, at least the integrated approach is not delivering the value just from an external point of view. Thank you.
Martin Brudermuller: Hi Chetan. And I will start with the second one and then Dirk takes over the first one. I mean first of all, we have explained to you our so-called differentiated steering approach, which is trying really that those units that are less integrated in the Verbund and honestly speaking, coatings, battery materials and of course agricultural solutions are not so heavily integrated that we give them more space to actually add as the pure play. And I think that they will bring the performance up and will allow performance increase. On the other hand, I think where you really have an economies of scale effect is all the services that are provided also from financial to R&D and to digitalization and whatever. So, we keep them in this because we think they will have lower service costs than actually allowing them to build up their own piece. So, I think this is the concept. This is why I said integrated company because I am very honest here, some of the people, in particular, labor – on the labor side, they think this is now going to be a holding. And that is not the intention of that approach, at least not at that moment of time. When you now say you don’t see Verbund coming in, I have to clearly say, if you don’t have volumes, and you have your chemical – your huge plants in chemicals and materials standing, you don’t see the Verbund advantage. You see the Verbund advantage when they are loaded. And this is always when you praise us in the times when commodities are great, then BASF is super, super stocked and strong and much stronger than the competitors because that’s then actually where the materials and the volumes flow and where then the full Verbund advantage comes in. With the low utilization, you really don’t see it. And this is also why I cannot say that and give you big arguments why you would have seen Verbund advantage in 2023. But it is really in the core and that is also an approach that we strengthen the differentiated steering because we will have then one ERP system, one S4 HANA core that really caters only for the Verbund issues will be much simpler and with that also much cheaper. And I am still convinced in this true value chain thing. If the plans are under full steam, I say there is a clear advantage for the Verbund, but not with low load.
Dirk Elvermann: Hi Chetan. I will continue with the guidance. I think first of all, it’s great that the analyst consensus is matching our guidance in terms of EBITDA. It’s in line with consensus, yes. Our guidance builds on indeed recovery of the economy. In the course of the year, we will see volume growth throughout the businesses, but we also bank on a margin recovery, the first one kicking in earlier, the margin recovery kicking in a little bit later. And then also supported by strong and strict cost discipline, which we already now explained again in our speech and to notice that we are not only saving cost on the go, but that we are also taking another step of structural measures, and that will also contribute to that overall. So, we stand by that guidance for sure.
Stefanie Wettberg: Given that we have only 10 more minutes and eight people still queuing here for the Q&A, I would suggest that we move to one question per analyst. We will have now Chris Counihan, Jefferies, then Jaideep Pandya and then Martin Evans, so now Chris Counihan. Please go ahead.
Chris Counihan: Thanks so much for the opportunity. On Nutrition & Care, could you talk us through the steps to bring this business back to the targeted mid-cycle EBITDA margin and the timing to realize this? I just ask it as the business used to contribute closer to high hundreds of millions of EBIT, but it’s now closer to breakeven. The strategy has been a low-cost producer waiting for others to drop out of the market. And that’s probably going to take even longer as your European peer is cutting costs, divesting its vitamins business and presumably selling to someone who will drive further cost reduction on its own accord. It also seems opposite to the new cost savings program, where you talk about it adapting production for end market demand. So, how long do you continue to accept these results, and what’s the way out?
Dirk Elvermann: Chris, thanks for this one, and I will take it up. So, if we talk about our nutrition business, we have to see, these are three businesses, actually. There is an aroma business. There is a vitamins business. And there is a pharma business. So, for aroma, there is currently a good volume growth momentum that we are seeing. There, colleagues are in a hunting mode also to get the volumes in because that is very crucial for this business, and we see that happening price is still under pressure. But we anticipate that the prices are bottoming out here and we see pricing upside here over the time. So, then for the nutrition business, this is basically with vitamin A and vitamin E. So, what do we see here, for vitamin A, we have brought upstream now the full-fledged vitamin A plant, which should have the full cash cost advantage in the overall landscape. So here, we are leveraging on the economies of scale now have to fill that plant, but also with what we elsewhere see in the market are confident that we are getting a leading position. If you look into the vitamin A prices, historically, they are really at the bottom. So here, we are banking on the pricing upside that should come. Vitamin E, the other one, you currently see, and I think you alluded to that also longer shutdowns of plants, respective plants in China, so it’s in the overall, getting a little bit more difficult here, which we see also as a possibility to gain momentum on price and volumes. And pharma, the smallest of the businesses, but also worth noting here, if you take just biopharma, for instance, there was a long, long destocking after COVID. But now finally, we see the recovery here, so some very positive views. But you are right, it takes a long breath. It takes patience to bring that business back into the profitable arena.
Chris Counihan: Thank you.
Stefanie Wettberg: Okay. So now, Jaideep Pandya, On Field Research, your turn. Jaideep, we can’t hear you. We will move on then to Martin Evans, HSBC.
Martin Evans: Thanks Stefanie. Back to guidance for this year and the risks to it, particularly given last year, and if I turn to Page 174 of your own report and accounts, the risk section, the potential short-term risks to your EBITDA of key metrics is quite a negative table you present with the risk to your margins of up to sort of €1 billion and a risk to your business from competition of another €1 billion. I appreciate this is the Risk Committee and they have to be cautious. But you have discussed margin risk from weaker prices, and you have discussed competition risk from China. So, what is the chance that you come back to sort of later in the year, particularly with the new Board and so on and say that in fact, you have taken onboard your Risk Committee’s issues with the business and we get a fairly substantial cut to that €8 billion plus guidance, because the Risk Committee’s concerns on margins, in particular, look quite scary, can you discuss? Thanks.
Martin Brudermuller: Maybe, Martin, this is the good thing that the old CEO can do that, so that the new one can correct it. No, I am joking. I mean we have certainly put a lot of thoughts into this. And I think it is a very true and honest risk pattern, which we show you. But let me also very clearly say, I mean, I think our guidance is this time not to sell hockey sticks, so everything gets great at the end of the year. But – and I told this in my speech, that we rather think it will basically be at a similar level and only slowly crawl up everything else then is upside and positive if we take it as we get it. For that reason, I think if you look at that situation, others getting maybe nervous there is the risk, the highest risk on push on prices and losing margins and volumes. But let me also say, yes, we have a volume target, which is higher than the market, which all you had to do that we lost some volumes with outages of plants and so on. So – and it is also very different by product lines. I think we took it more aggressive where we are strong than in others. So – but I have to say most of also the power that is coming from inside from structures. And this is the cost reduction and all that, what you mentioned. And this is why it is not a very intensive, let’s say, market-driven loaded guidance we give. This is why I think it is an ambitious guidance. I have no question about that. But it’s no unrealistic one. And that’s why I think if the environment stays like this, that means we don’t have additional wars and interruptions and whatever, I think we have an ambitious, but also realistic guidance. If it’s coming up and really we get a hockey stick, then we will have delivered more. So – but in that respect, we feel comfortably ambitious with our guidance.
Martin Evans: Thank you very much.
Stefanie Wettberg: I see Jaideep Pandya is back in the queue. So, please go ahead now.
Jaideep Pandya: Sorry. One first question is on your German plant on how much exports are you doing to China these days from Germany? Sort of just from [indiscernible] when your China cracker will be up and running, where will these flows go, or would you have to reduce capacities given we are in an overcapacity world for quite a few years? And then just apologies to ask this again, but on your Q1 guide or not guide, but on your Q1, should we think Q1 will be flattish year-on-year and you will make up for the 10% midpoint growth that you are alluding to for the year, or do you think that your start will be a bit soft, given it’s such a big ag-dominated quarter? Thanks.
Dirk Elvermann: Yes, I will start with the second question. Q1 had a, I would say, a solid start. Will this be possibly lower than Q1 2023, which was quite a strong quarter in the overall scheme, yes, this can be. And this would be on the back of the Agricultural Solutions business, as you rightfully spot. So, yes, I think its spot on. Decent start, solid start, but due to it can be that we are coming in a little bit lower. But we will have to see what also the rest of February and March is bringing there.
Martin Brudermuller: We cannot give you a detailed picture about exports into China, but it’s not such a big volume because we have also very much raised our capacities over there in China, so China for China. This is also what the whole Verbund site is. What we usually do, we use the global grid to do pre-marketing for capacities coming up, but that is also too early for Shanshan now. So, I would say, yes, some material flows out, but it’s not a dramatic one that I feel jeopardized that this is now especially attacked and we have to reduce, let’s say, production here in Ludwigshafen and Europe because of exports to China. So, I think it’s nothing which you should keep on your list of concern.
Jaideep Pandya: Thanks a lot.
Stefanie Wettberg: Okay. We still have five persons on the list. We will give it a try. But please short questions, short answers. So, now it’s Peter Clark, Société Générale.
Peter Clark: Yes. Good morning. I will keep it short then. You talked about tightening belts on the CapEx for the growth projects. And certainly on my calculation, it looks like the growth allocation for the CapEx ‘24 to ‘27 has come down substantially, over €10 billion, €207 billion. I know you already trimmed something you get in benefits of inflation being low. But has something fallen out of battery materials, because obviously, most of the spend on China is still happening? Thank you.
Dirk Elvermann: Yes. First, Peter, you are right, we are trimming the CapEx. And so the preponderance of the investment peak now is indeed for the China project. For batteries, we take a little bit of a longer view now and also looking into where can we de-risk with partnerships. So, you are right, the majority of the investment is in China batteries. We are fully committed, but we are slowing down here a little bit.
Peter Clark: Got it. Thank you.
Stefanie Wettberg: So now we have Andreas Heine, Stifel, and he will be followed by Oliver Schwarz.
Andreas Heine: Yes, very two quick ones. China, can you give an update what you on your own companies see? In the Q3 call, you said that your China plants are already running at normal load, but with very thin margins. And maybe an update on where you see the discussions about the state guarantees for the lost Russian assets?
Martin Brudermuller: So, I would say not so much news on what we said the last time. We definitely don’t see the dynamic China everyone would like to see because the topics are prevailing, like the real estate sector is still difficult. I would say maybe a little bit light on the tunnel in terms of consumer confidence, so people seem to be a little bit more better on that. So, we have a slight volume growth in a one-digit number now is basically in Q4. And I would say that’s the way it continued also. But let me say that January alone in China, you can have a value on because you have Chinese New Year, so you have usually to take January and February together. Too early to say because depending on whether it’s late or early, that has different patterns. But I would say nothing specifically about China that is shooting up or slowing.
Dirk Elvermann: And to me again on the Federal investment guarantees, so Wintershall Dea is pursuing these claims diligently. This is ongoing. I have to ask for understanding that we can’t come up with details here, disclose any details, but this is positively going on, I would say. And what is always worth mentioning is that these claims are not accounted for. So, whatever is gotten back from the Federal investment guarantees is a clear value upside compared to what you see in the financial statements of Wintershall Dea and also BASF.
Andreas Heine: Thanks.
Stefanie Wettberg: Okay. So, now Oliver Schwarz, Warburg, and then two more, then Sebastian Bray and Alex Stewart. Now, we have Oliver Schwarz, please.
Oliver Schwarz: Yes. Good morning. Two questions on your free cash flow guidance. The €1.6 billion you expect as a one-off gain from the Wintershall Dea in Q4, is that included in the free cash flow guidance? And also the new efficiency program in Ludwigshafen, the related costs, are they part of the guidance, or are they likely more to hit early in 2025? Thank you.
Dirk Elvermann: Yes. On your first question, what we get from Wintershall Dea is not the proceeds. This is not part of the free cash flow for guidance. So, this is out. This is not accounted for in the free cash flow household. So, you have to see that separately in the investment cash flow. So, it’s not in. And your second question was on?
Oliver Schwarz: The related costs, are they part of the guidance, or is that likely to drop to free cash flow only by 2025?
Dirk Elvermann: So, this is a special items topic, and we are considering always both the benefits and also the cost and take the net perspective then.
Oliver Schwarz: Also on the free cash flow?
Dirk Elvermann: Also on the free cash flow.
Oliver Schwarz: Thank you, Drik.
Stefanie Wettberg: Okay. Now Sebastian Bray, Berenberg. Please go ahead.
Sebastian Bray: Hello. Thank you for taking my question. So, I would have one on gas, please. What is the guidance assuming in terms of gas price? And does the company reasonably hedged, how much did BASF spend on gas in ‘23 versus ‘24? We have been very focused on volume recovery. But even if that doesn’t materialize, I have the feeling that if gas prices keep dropping, that could be quite supportive for guidance. And a quick second one, if I can squeeze it in, what is going right versus your competition? It seems like – is there a boom in canola seeds? Are you taking market share in fungicides? Thank you.
Martin Brudermuller: Yes. So, on the guidance, so you note that we are not giving a guidance out for gas prices. You see where the gas prices are currently standing. I think many people have been a little bit surprised it stays so stable over the winter. It was certainly a mild winter. But I think what we have to take into consideration that in Europe, the industrial productivity was also very low. So, this explains it. So, is there, I would say, upside risk for gas prices compared to what we see today, there certainly is. But I think it remains to be seen a little bit crystal ball, a guidance on gas, we are not providing. On the question of the mix of ag, so what is special, as you know, we have quite a chemicals loaded business, but we also have strong seed businesses like the mentioned canola businesses with a position number one leading position in Canada, particularly. And what I can say is there is no specific concern about any of our businesses in the ag business. And it seems like both in terms of business mix and also distributor landscape that we have, we are in a, let me say, comfortable position there.
Sebastian Bray: Just to check that, can you sell dicamba at the moment following U.S. ruling or that’s not possible?
Martin Brudermuller: Yes. So, there is SNE ruling, as you know, which we take very seriously. And for dicamba, the over-the-top application is not possible. And of course, we are observing any ruling there.
Sebastian Bray: Thank you.
Stefanie Wettberg: So, now to conclude, we have Alex Stewart, Barclays. Please go ahead.
Alex Stewart: Hi there. Good morning. You will be pleased to know it’s a very quick question. The €1.8 billion of one-time costs to deliver the savings, could you clarify for us how much of that is cash versus non-cash, would be very helpful. Thank you.
Martin Brudermuller: Too early, as I will have Dirk again, so I think too early to break that down. I mean a big part of the one-time costs are obviously severance payments, which eventually turn into cash. That is very clear. But how this will be staggered up over the next couple of years, we will have to see. There will be certainly some rollovers from 1 year to the other. I would also say that €1.8 billion as a cumulated number is on the conservative side of things.
Stefanie Wettberg: Okay. So, ladies and gentlemen, we are now at the end of today’s conference call. We will present our first quarter results on April 25 right before our Annual Shareholders Meeting on that day. We will again be hosting a physical shareholders’ meeting in the Congress Center Rosengarten in Mannheim. Should you have any further questions today, please do not hesitate to contact a member of the BASF IR team. Thank you very much for joining us today and goodbye for now.